Operator: Good morning ladies and gentlemen. Welcome to the Village Farms International's Fourth Quarter and Year-End 2024 Financial Results Conference Call. This morning Village Farms issued a news release reporting its financial results for the fourth quarter and year ended December 31st 2024. That news release along with the company's financial statements are available on the company's website at villagefarms.com under the Investors' heading. Please note that today's call is being broadcast live over the Internet and will be archived for replay both by telephone and via the Internet, beginning approximately one hour following the completion of the call. Details of how to access the replays are available in the company's news release. Before we begin, let me remind you that forward-looking statements may be made today, during or after the formal part of this conference call. Certain material assumptions were applied in providing these statements, many of which are beyond our control. These statements are subject to a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied in forward-looking statements. A summary of these underlying assumptions, risks, and uncertainties are contained in the company's various securities filings with the SEC and Canadian regulators, including its Form 10-K, MD&A for the year ended December 31, 2024, which will be available on EDGAR and SEDAR+. These forward-looking statements are made as of today's date and accept as required by applicable securities law. We undertake no obligation to publicly update or revise any such statements. I would now like to turn the call over to Michael DeGiglio, Chief Executive Officer of Village Farms International. Please go ahead, Mr. DeGiglio.
Michael DeGiglio : Thank you, Tanya. Good morning, everyone, and thank you for joining us today. With me are Steve Ruffini, our Chief Financial Officer, and Gillin Lefever, Chief Operating Officer. Today we have Orville Bovenschen, President of Canadian Cannabis, and Patti Smith, our Corporate Controller, as well as Sam Gibbons, Senior Vice President of Corporate Affairs. Let me begin with a summary of highlights from today's results before I passing the call on to Steve for a more detailed review of the financials. Excluding the inventory impairment disclosing this morning's press release, we had one of our strongest quarters of performance over the past four years, which gives us great confidence that we have good momentum behind us, as we are continuing to execute our profitable growth strategy in 2025. As a reminder, all currency figures we've referenced in today's call are in US dollars, unless otherwise noted. Total fourth quarter revenues of $83 million increased 11% year-over-year. And full year revenues increased 18% year-over-year to $336 million. Total net sales in Canadian cannabis for 2024 grew 31% with all of our growth generated organically without acquisitions and retail branded sales were up [23%] (ph). Over the past three years, we have organically grown our Canadian cannabis business into a perennial market share leader in a highly competitive market and one of the only operators with a track record of positive cash flow from operations. We have been successful in our efforts to achieve a defensible leadership position in Canadian cannabis before expanding to other markets. And over the past couple of quarters, we have begun to focus more energy toward our international strategy, prioritizing profitable sales growth over competing for low margin business to drive volume and market share here in Canada. Current dynamics in the value end of the supply chain in Canada and impacts of key account spend to maintain [shell] (ph) space with retailers are not sustainable for the industry. We have made some conscious decisions recently to move away from lower tier categories that no longer align with our longer term global strategic objectives. And these decisions were reflected in the market share trends in the fourth quarter. However, I would also like to make it clear that the out-of-stock strain impacts that we discussed on last year's conference call have been resolved as we anticipated they would be, and we did begin to recover some share at the end of the year and in the first few months of 2025, as these strains begin making their way back onto shelves. We have made incremental share gains in Dried Flower for the past four months in Ontario, and since December our national share of the Dried Flower categories gained 120 basis points. Even though we are prioritizing profitable sales growth over low-margin volume in Canada, we remain one of the top three producers holding the #3 market share position overall in Canada. We were the second fastest growing LP organically during 2024 and held the #2 position in both Ontario and Quebec. We also further expanded our #1 national market share position in Dried Flower and moved into the #2 national share position in the Pre-Roll category for 2024. All of this success has been achieved organically, without M&A activity, which is a rarity in Canada and an incredible testament to the hard work and dedication of our team who continues to drive our Canadian cannabis business forward with product offerings consumers love. I would like to congratulate our entire Canadian cannabis team on these great achievements. Improvements in market share in the early months of 2025 have coincided with our recent launch of our Super Toast all-in-one vapes, which we launched in December and have quickly become the #6 ranked vape offerings nationally and #2 in Ontario over the past three months. This strong market share capture highlights the quality and consumer trust we have built with our Super Toast brand. As we mentioned last quarter, we are in the process of moving our extraction and vape manufacturing capabilities in-house in 2025, as we believe there are opportunities for us to capture profitable market share in these categories with new product offerings. I will note that the fourth quarter performance was impacted by our decision to take a $10.5 million non-cash write-down of non-flower manufactured inventory in Canadian cannabis. This product was purchased primarily from third-parties for vape and manufactured products and they simply did not meet our quality standards. We felt that selling suboptimal vape products and related inventory into the market around the same time we are bringing extraction and vape manufacturing back in-house would have been detrimental to our brands and future product launches. This write-down only enables our sales team to focus strictly on quality and profitability with a healthy inventory position in 2025. If we exclude the inventory write-down, it was one of our best quarters for both Canadian cannabis and our entire business on a consolidated basis in several years, as we generated positive adjusted EBITDA in each of our Canadian cannabis and US cannabis and fresh produce businesses. Excluding this impact, gross margin for our Canadian cannabis business would have moved back into our 30% to 40% target range, and adjusted EBITDA net income was the highest in the last four years. We're also making steady progress on our international cannabis strategy, which generates higher margins with no excise tax. Q4 exports to international medical markets were up 113% year-over-year, driven largely by increased sales in Germany as that market continues to experience exponential growth, as well as continued volume increases in both Australia and the UK. Subsequent to the quarter end, we added our fifth international medical market with our first shipments from our BC operations to New Zealand. Our Pink Kush strain, the top-selling dried flower strain over the past four years in Canada is now available to patients in New Zealand via established distributor Medleaf Therapeutics under its bloom brand. The New Zealand medical cannabis market is forecasted to grow at a compounded annual growth rate of 58% over the next five years. International cannabis sales for the year increased to CAD8.4 million and momentum has continued into 2025 with strong year-over-year international sales growth in both January and February. Combined with a very strong pipeline of potential new customers and markets, we are confident that we will be able to at least triple our international medicinal export sales in 2025. Outside of our medicinal export sales international markets, our other international opportunity of course is in the recreational market in the Netherlands, where our Leli Holland subsidiary has one of 10 licenses to supply recreational cannabis to coffee shops. With a long-established culture of cannabis consumption, zero-restrictions on vertical integration, and a considerably more favorable pricing environment than Canada. We believe the Dutch market represents one of the most attractive cannabis investments globally and for us. In December, we completed our first harvest at our first facility in Drachten on schedule and commenced sales as expected in February. We couldn't be happier with the yields and quality of the product coming out of the new facility. And initial feedback from the coffee shops we are selling is that our product is head and shoulders above expectations. And importantly, pricing and margins are right in-line with our forecast. With such a great start up lately, we are pleased to announce today that we have broken ground on Phase 2, our Phase 2 cultivation facility in the town of Groningen, that will quadruple our annual production capabilities. Our Phase 2 facility is expected to be planted out sometime in the fourth quarter of this year and will be a brand new state of the art indoor facility. We are very excited about this new location, which already has a 6 megawatts of power supply that will more than support our needs and give us a competitive advantage in market as it is our belief that other operators may face power constraints in the future. Moving on to results from our fresh produce business, we continue to benefit from our steady progress implementing new cultivation technologies including AI and machine automation to drive operation improvements and efficiencies. Performance in the fresh produce included $3.5 million of other income in Q4 related to vendor settlements associated with the partial recovery of previous operational losses from the tomato brown rugose virus that we experienced. This impact contributed to adjusted EBITDA $4.1 million and net income approximately $2 million in the fourth quarter. Our US cannabis business also delivered a quarter of positive adjusted EBITDA along with our clean energy business, which ended the year on pace to deliver approximately $2 million in net income to our consolidated results in 2025. In summary, despite the Q4 inventory impairment, we are pleased with our fourth quarter and full year results, and we believe we are well positioned to execute on the many growth opportunities we see in front of us to deliver a successful year of profitable growth in 2025 and beyond. In addition to our Phase 2 expansion at Leli Holland, we are also in the process of optimizing our Canadian cannabis resources to improve operational efficiencies between our Pure Sunfarms and rose subsidiaries and align our business with more profitable growth opportunities. These efforts are nearing completion at the end of Q1 and we expect them to result in lower cost and improve productivity, efficiency, and profitability moving forward. Before I turn the call over to Steve, I would like to spend a few moments discussing the proposed Canadian and Mexican tariffs, which for now have been delayed until April 2nd. Let me provide some perspective on how we plan to manage any tariff impacts and what we think this could mean for the business. As always, we will focus on controlling what is in our control. Approximately 60% of our 2024 fresh produce sales in the U.S. were imported either from our own facilities in Canada or our third-party growing partners in Mexico and Canada. If tariffs [do go into effect] (ph), we intend to relocate resources to fulfill as much of our demand as possible from our Texas greenhouse operations. And we do expect significantly increased demand for US-grown produce and higher market pricing in an environment of prolonged tariffs. For any of our demand that needs to be addressed with imports, ironically, the tight margins in our produce business resulting from Mexican competition under the previous free trade agreements means we have no choice but to pass on the 25% tariffs to our customers. I will also note that 2025 sales from our Canadian operations began in early April as those facilities come into their season. We are also working with our third party supplier relationships in Mexico regarding the tariffs. Notwithstanding the short-term impact, we remain confident that as one of the largest and longest operating greenhouse produce companies in North America couples without strong retail relationships, we have a significant advantage and an integral role to play in the evolution of the produce industry. With that I'll turn the call over to Steve to review the finances before I make some last closing remarks.
Stephen Ruffini : Thanks, Mike. Starting with our consolidated results, as Mike noted, excluding the inventory impairment in Canadian cannabis at year end, Q4 was one of our strongest quarters in recent years. Total sales grew 11% year-over-year to $82.6 million with strong top-line growth in both Canadian cannabis and fresh produce. Net loss improved to $8.6 million or $0.08 per share from $22.5 million last year. The $8.6 million for Q4 this year includes the $10.5 million Canadian cannabis write-down. Consolidated adjusted EBITDA was negative $3.5 million. If one were to exclude our fourth quarter inventory write-down, we would have reported adjusted EBITDA in the fourth quarter of $7 million. Our best results in four years and our full year adjusted EBITDA would have been $12.2 million. I will now turn to the business segments individually, starting with fresh produce. Q4 sales increased 17% year-over-year to $43.3 million. Growth was driven by higher volumes from both our own production and that of our partners. We can see the positive impact of our success around yield expansion and cost efficiencies in our gross margin for the quarter, which improved nearly 60% from Q4 last year. Adjusted EBITDA was positive $4.1 million, compared with negative $600,000 last year. And net income was positive $1.9 million. Both include the $3.5 million of other income, which is the result of the recovery of prior period Brown Rugose losses. Moving to Canadian cannabis, which I will discuss in Canadian dollars, net sales were up 10% year-over-year, given mainly by non-branded sales and international sales. As Mike mentioned, we benefited from the continued momentum in our international medicinal exports, which were up 127% from Q4 last year on the Canadian dollar basis or 113% on the U.S. Dollar basis. Non-branded sales were up 20% year-over-year to $9.5 million as we continued to be opportunistic where possible to align supply with demand. Retail branded sales were essentially in-line with Q4 of last year at CAD35.1 million. Excluding our inventory impairment, Canadian cannabis gross margin was 33% up from 23% in Q4 last year, well within our target range of 30% to 40% in demonstrating positive impacts of our recent decisions to move away from lower margin business. S&A expense as percentage of sales for Q4 was 22% compared with 21% in Q4 last year. Q4 Adjusted EBITDA for Canadian cannabis was negative $9.1 million as a result of the inventory impairment. Excluding the impairment, adjusted EBITDA was positive $5.9 million, which compared to last year was more than double. Finally, as we continue to report quarter-after-quarter, I will highlight that in Q4 we paid excise taxes on retail branded sales of $44.1 million, -- mean $44.8 million, which includes excise taxes paid for both the third and fourth quarters. This brought the total excise tax we paid in 2024 to just shy of $100 million. For perspective, that is more than double our SG&A, any forward Canadian excise tax reform would be a welcome change, given that Canadian cannabis excise taxes are one of our largest single expenses. Turning to our U.S. Cannabis business, on our Q4 call, I noted that we have stabilized the business within the regulatory headwinds, and we're working on a number of initiatives in 2025 to reinvigorate sales of our responsible GMP-produced natural hemp products, and we continue to manage our costs. Although Q4 sales continue to be impacted by the state's attempts to deal with unregulated products by restricting all intoxicating hemp-based products, we saw a 17% increase sequentially to $4.6 million in revenues with a healthy gross margin of 70% and adjusted EBITDA move back into the positive territory at $300,000. Finally, Clean Energy generated $400,000 in net income with royalty payments we are now receiving from our energy partner, providing a healthy stream of incremental profits for the company. As Mike mentioned, we believe VF Clean Energy is on track to deliver approximately $2 million in net income to the consolidated company in 2025. Turning to consolidated cash flows in the balance sheet, total cash flow from operations for the full year was $10.5 million with $400,000 in Q4, reflecting our third consecutive quarter of positive operating cash flow. I should also reiterate that the fourth quarter cash flow from operations in Canadian cannabis was negatively impacted by the timing of the Q3 excise taxes payments of CAD24.1 million, which occurred during the fourth quarter, in addition to the Q4 excise taxes of CAD20.7 million, which were paid at year end. The timing of the Q3 tax payments falling in Q4 was due to a national holiday which negatively impacted the cash flow from operations during the fourth quarter. We ended Q4 with cash of $24.6 million and a working capital of $53.8 million. Total term debt at the end of Q4 was $41 million, split equally between fresh produce debt due May 2027 and cannabis debt, which matured starting in February 2026. We remain very comfortable with our net debt level of $15.9 million. All of our lenders remain very supportive of the company, especially considering our improving performance in growing international business. We are in the final stages of amending our produce debt, which will provide more favorable, flexible financial covenants, as well as other commercial changes recognized the company's change in focus from produce to cannabis as this loan originated way back in 2013, long before our move to cannabis. We are awaiting property appraisal to complete the refinancing of our [Pearson Farms] (ph) debt maturing in February 2026. We expect to have the refinancing completed on or before March 31st, with a new maturity date of February 2028. And finally, we have begun discussions with two Dutch lenders with respective place in commercial bank debt on our Leli Holland operations. We expect to have something in place by the end of Q2 of this year. I'll now turn the call back to Mike.
Michael DeGiglio : Thanks, Steve. In summary, our fourth quarter and full year results reflected our continued success in building a perennial, profitable leadership position in Canada, and demonstrates our prioritization of profitable sales growth, as we continue executing our international growth strategy. We are focused on establishing a global leadership position in regulated cannabis, and we're beginning 2025 with meaningful new developments coming that position us for a transformational year in our pursuit of this objective. We believe we are well-positioned to execute on the many growth opportunities we see in front of us and to deliver a successful year of profitable growth in 2025 and beyond. Tanya, we're ready for questions now. Thank you.
Operator: [Operator Instructions] And our first question will be coming from Aaron Grey of AGP. Your line is open, Aaron.
Aaron Grey: Hi, good morning. Thank you for the questions. And first off, I know many would have tripped out that one-time impairment for a more optically appealing adjusted EBITDA. So I acknowledge that you guys made the tougher choice not to do so. So sticking on that point for the CAD15 million, I believe, for Vapes, you called out the gross margin and EBITDA impact. But I am curious, was there also some top-line impact that you might be able to quantify due to not having the planned product available to sell into the provinces, or was the lower, you know, branded retail more so just a function of the intentional efforts to exit those lower tier products. Thanks.
Ann Gillin Lefever: Aaron, it's Ann. Good morning and thank you for the great questions. It did not impact our revenue. We made the decision that it wasn't quality enough to put into our revenue. And Steve may want to talk to you about the write-off treatment as well.
Stephen Ruffini: Yeah, so we a lot of this is as Mike alluded to is vapes, pre-rolls, manufactured by others that wasn't up to our quality specs. Some of it we were moving at, hurt our non-branded margins last year. So we made the business decision to write these things down to net realizable value and or destroy some of it rather than continuing to put more cost into it, just to move it out the door for cash flow purposes. Very strong cash flow, or obviously our cash flow was significantly higher than EBITDA. I don't think too many people in the industry can report that. And at any rate, I think your other question, Aaron, was with respect to our branded sales. They were flat, as Mike alluded to, we have moved away, started moving away in Q4 to pushing the stuff and trying to move away from some of the value offerings. Yeah, I would add also, if you look at the phenomenal results on the launch of Super Toast in the vape category, we made the right decision to just do the right thing and get the most excellent product we could and it's resonating in the marketplace. We feel it was the right thing to do for our customers and consumers that were pleased with it.
Aaron Grey: Yeah and certainly seems more one-time in nature. Second question for me, just on some of the commentary on capacity being better allocated potentially to other markets at this time versus Canada that are more profitable. So high-level commentary on the implications for your Canadian cannabis market share and your aspirations in the near term. Do you feel that you finished exiting some of those lower tier products that you mentioned before? And more so now are you looking to hold share in Canada or selectively increase where you find profitable categories, but most of that incremental product now will be going to international versus trying to build more share in Canada. So just some high-level commentary on how we should think about the allocation of product going forward. Thanks.
Michael DeGiglio: Well, we're really fortunate to have Orville here in the office today, so I'm going to let Orville answer that question.
Orville Bovenschen: Hi, Aaron, thank you so much. Another good question. Canada is our foundation, so we believe in having a strong foundation, so it's not that we're shortshipping the boards in Canada, but we are not oblivious to the demand that is basically based on the high quality flower that we're selling. And the quality international is well received as well, so the demand is very, very high. And ultimately the overall demand is very high. But having said that, the demands for domestic, we will always fill the demands for domestic for high quality flower.
Aaron Grey: Okay, great. Appreciate the detail there and I'll go ahead and jump back into the queue.
Michael DeGiglio: Thanks, Aaron.
Operator: And our next question will be coming from Pablo Zuanic from Zuanic & Associates. Your line is open, Pablo.
Pablo Zuanic: Thank you and good morning, everyone. Look, just my first question is regarding Holland. So, there are 10 licensed producers there. You know, can you have a sense of are they all up and running? Do you have a head start, you know, factoring the [king-tubeling] (ph) of capacity? You know, what share of production do you think you will have? It would help to understand that part. And then in terms of the 85 coffee shops that are part of a pilot program, are they being forced to buy only from the licensed producers starting when and how is that being enforced? Thank you and congratulations again on the [Holland Venture] (ph).
Michael DeGiglio: Sure and I'll touch on and then pass it over to Orville. Well, there's a date right now for the coffee shops to buy 100% of their product from the license holders. So let me just say there are 10 licenses that were issued but only seven operations have gotten in production. Three have not yet. So that's putting some constraints and the Dutch government allowed the 85 coffee shops or so to buy product, continue to buy product from the listed trade till April 7th. Now that date may be extended again. We don't know yet. So that should answer that first part of the question. Orville, you want to add some color?
Orville Bovenschen: Yeah, I think the April 7th deadline is a very firm deadline for the government. I know the coffee shops are concerned about the supply that's being offered on the market right now. The demand for our product is very high. The quality again supersedes the quality of the other producers in the experiment. But absolutely, there will be a timeline. For now, it is April 7th, that the coffee shop will be forced only to buy from the legal suppliers. To Mike's point, only 7 are at the starting line right now and still ramping up production.
Pablo Zuanic: Thank you. And then just one more on internationalizing, you're giving guidance to about 3 times growth, right? You did $6 million in [2024] (ph), so that's great outlook for 2025. But my question is more about route-to-market. Are you going to make investments, putting more feet on the ground, taking more control of the local supply chain in those markets, whether it's Australia or Germany, what is it going to be pretty much shipping from D.C. and letting the distributors there handle those businesses? Thank you.
Michael DeGiglio: Well, I can see your crystal balls working this morning for that question, Pablo, so thank you for that. But I think you're on the right track. But I'd rather not elaborate on the call because of competition of what our plans are going forward. But I can tell you our international additional export is front and center for our 2025 and beyond plans. How's that?
Pablo Zuanic: All right, that's good enough, I guess. But congrats again. Thank you.
Operator: [Operator Instructions] Our next question will be coming from Frederico Gomes of ATB Capital Markets. Frederico, your line is open.
Frederico Gomes: Thank you, good morning. Thanks for taking my questions. First question on the comment about expecting the international sales to triple in 2025. Just curious how much of that would be coming from the Netherlands and how much would actually come from the other medical markets?
Michael DeGiglio: Well, the Netherlands is separate. So when we refer to our international export, that's 100% medicinal to the five countries we've been selling. That tripling of that business internationally solely on the medicinal side does not include the Netherlands, which as you know is for [RAC] (ph). So there'd be no importation into or out of the Netherlands. So that's sort of a limited licensed country in a way. And that's totally a separate segment for us.
Frederico Gomes: Great, perfect, that's clarified, thanks. And then a second question on the non-branded market, wholesale market in Canada. We've seen some companies announcing that they will be increasing cultivation. So I'm curious how you see that the risk that the market could get against a new cycle of oversupply and how do you see that developing in Canada for this year?
Michael DeGiglio: I'll start and we can see who wants to add to it. I don't really I know there's some expansion going on but specifically with that expansion some of it B2B, some probably most likely international, but I think as long as in the remarks we made when you look at how the structure has developed in Canada, both from what we've said many, many times, ridiculous 40% top-line excise tax and working with our retailers to keep products on the shelf. I think anybody looking at investing capital in the Canadian market would have to be looking either at B2B but more I don't think they would build solely for B2B. It'd have to be for international. But I don't see it nowhere getting to the levels that we saw two, three years ago as far as biomass. Right now there's, it's limited. There's limited biomass in the marketplace, and I think that's all been cleaned up. Anyone want to add any color to that?
Ann Gillin Lefever: I'm aligned. Orville, do you want to add anything?
Orville Bovenschen: No, it's not the trends that we are seeing, price-wise and volume-wise. But again, it's quality-driven. High-quality flower will always have a steady demand against it. And we're one of the best producers out there when it comes down from a quality perspective. So the demand for our flower remains very, very steady and very high.
Frederico Gomes: Thank you very much.
Operator: And I'm showing no further questions at this time. I would now like to turn the call back to Michael for closing remarks.
Michael DeGiglio : Okay, well, thank you for joining us today, and we look forward to reporting on our progress in 2025. Thank you, Tonya.
Operator: You're welcome. This concludes today's conference call. Thank you for participating. You may now disconnect.